Presentation:
Operator: Good day, ladies and gentlemen and welcome to the NOVAGOLD’s Second Quarter 2016 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder today’s conference may be recorded. I would like to introduce your host for today’s conference, Ms. Melanie Hennessey, Vice President, Corporate Communications. Ma’am, please go ahead.
Melanie Hennessey: Thank you, Michel [Ph] and good morning everyone. We appreciate you joining us for NOVAGOLD’s second quarter financial results and also to hear an update on the development of the Donlin Gold and Galore Creek project. On today’s call, we have Greg Lang, NOVAGOLD’s President and CEO; and David Ottewell, NOVAGOLD’s Vice President and CFO. At the end of the formal part of the presentation, we will take questions both by phone and by e-mail. But before we get started, I would like to remind our listeners that some of the statements made today may contain forward-looking information such as projections and goals which are likely to involve risks detailed in our various EDGAR and SEDAR filings, and in various forward-looking disclaimers included in this presentation. With that, I have the pleasure of introducing Greg Lang, NOVAGOLD’s President and CEO. Greg?
Greg Lang: Thank you, Melanie. As shown on Slide 5, the second quarter of 2016 marks the important passing of another major milestone for our company’s flagship gold project. As the public comment period for Donlin Gold draft EIS came to the conclusion, progress was achieved in advancing up the value chain. By transitioning into the final stage of the EIS process for the Donlin Gold project, we are now well positioned to unlock further value of an asset defined by an unique combination of multiple attributes. We are committed to our strategy of advancing this project to our long-term and mutually beneficial relationships with our partners at Barrick Gold, Calista Corporation, and The Kuskokwim Corporation. By maintaining a collaborative approach with the agencies as well continued open and transparent communications with all stakeholders, we look forward to continuing the progress that we have achieved to date. Slide 5 provides an overview of the recent activities at Donlin Gold. During the six month comment period, the Corp conducted 17 meetings in the communities, in the region and in Anchorage. The meetings gave the Corp an opportunity to present an overview of the Draft EIS which evaluates the environmental, social and economic impacts of the proposed project. The meetings also served as a platform for local stakeholders to ask questions and provide comments from the Draft EIS. The Corp is reviewing all of the comments to assess what additional studies are required to prepare the final EIS which they currently anticipate will be published in 2017. While the EIS process comprises a large portion of the activities, the team continues to work with the State of Alaska to issue draft of integrated waste management permit, reclamation plan, water discharge permit, as well as other work with the federal agencies to advance the issuance of other permits including the dam safety, pipeline authorizations, water use, air quality permits, and other land and lease permits and right-of-ways. The community and local stakeholder engagement is very important, because the success of Donlin Gold. In the second quarter, our commitment was focused on continuing to communicate the key project details keeping the locals informed, as well as to encourage participation in the Draft EIS public meetings and the submission of comments to the Corp. Donlin Gold also delivered project updates to numerous villages. Donlin Gold is a continued sponsor of numerous community wellness and environmental programs, as well as workforce development initiatives. Additionally, we were pleased to collaborate with Calista in sending patent graduating seniors from the Y-K region to attend a heavy equipment operator training program that is operated by the University of Alaska’s Mine and Petroleum Training Service. This is a career pathway to provide opportunities for students at Calista and their subsidiary companies. Opportunities exist and are created to local stakeholders even before development activities begun. Our involvement and support of social, educational, and environmental initiatives in the villages is an integral part of how we conduct our business. The incredible amount of support for Donlin Gold was gratifying and as shown in the comment letters that were submitted to the Corp, we have included a few quotes for your reference on Slide 7. These quotes represent the common elements of support that we are seeing in the region. As expected, those were concerns or objections also weighed in. The concerns expressed range from fear of a catastrophic event like a tailings dam failure or a diesel spill, the impacts on day-to-day life on the Kuskokwim River. None of these issues were a surprise for us and will be further addressed in the final EIS. The erring of both sides of an issue is an integral part of the environmental process as envisioned by the National Environmental Protection Act and it is vital to the Corp in addressing all public concerns and arriving at a defendable record of decision. We view Donlin Gold as a core business in this region fulfilling ANCSA's goal of providing economic prosperity for Alaska natives through the responsible development of their land. For all of those who attended a public meeting and submitted comments to the Corp, we appreciate your interest and participation in the process. Moving to Slide 8, while we are progressing with permitting, NOVAGOLD and its joint venture partner continued to work on value enhancing opportunities, optimize project economics and reduced upfront capital. Market conditions for the project have improved since the completion of the feasibility study and this allows the partners greater flexibility. The outcome of this effort may include enhanced project design and execution, engagement of third-party operators, and the possible arrangement of third-party financing for a portion of the capital-intensive infrastructure. Moving to Galore on Slide 9, Draft reports for the first phase of the tunneling studies is well enhanced and as well as enhancements to the site, waste and water rock management plans were completed. Due to the challenging copper markets, we intend to maintain the current level of activities at Galore with minimal spending. When market conditions improve, we will monetize our 50% interest in Galore to strengthen our cash position and contribute toward the development of Donlin. I will now turn it over to David Ottewell to take us through our financial results. Dave?
David Ottewell : Thank you, Greg. Turning to slide 10, our share of Donlin Gold and Galore Creek funding was on track at $3.2 million for the quarter. For the full year, we continue to expect to spend approximately $10 million to fund our projects. Slide 11 highlights our second quarter operating performance. For the quarter, we reported a $7.4 million operating loss, similar to the prior year. For the first six months, our share of expenses at the Donlin gold project were lower as planned as 2016 activities focused on the Draft EIS public comment period and permitting. NOVAGOLD's cash flow highlights are outlined on slide 12. During the second quarter of 2016, we spent $5.2 million, of which $3.1 million was used to fund our share of the Donlin Gold and Galore Creek projects and $2.1 million was used for administrative cost and working capital. In the second quarter last year, we made the final principal and interest payments on our convertible notes. We ended this quarter with cash and term deposit totaling $112 million and continue to expect to end the year with approximately $100 million. On slide 13, we provide a reminder of 2016 budget. Given NOVAGOLD's current cash and term deposits of $112 million, and anticipated spending for the full year of approximately $25 million, we expect to end 2016 with sufficient financial resources for NOVAGOLD to complete permitting of Donlin Gold and conduct necessary activities at Galore Creek. Greg, back to you.
Greg Lang: Thank you, Dave. Now turning to a brief overview of the multiple attributes surrounding our flagship property Donlin Gold. Any one of these attributes commands a premium in today’s asset-starved gold industry. Starting with the significant endowment on Slide 14. Turning to Slide 15, Donlin Gold has a longevity with anticipated production profile of greater than 1 million ounces a year for almost 30 years, clearly at the top of the list when compared to the peer group of other development stage open pit gold deposits. Once in production, the project will contribute great economic benefits to all of our stakeholders for decades to come. Another key attribute is the excellent grade of the deposit with measured and indicated resource grade at 2.2 grams per ton, one of the highest grade, large open pit gold deposits as shown on Slide 16. This is very important as reserve grades continues to decline and sources for emerging production become increasingly scarce. Beyond size, scale and longevity, Donlin has tremendous exploration potential with numerous targets that remain under-explored. As the image on Slide 17 shows, the current mineral endowment occupies a very small percentage of the total land package. The future mine covers only three kilometers of an eight kilometer gold-bearing system. As previously mentioned, one of the key attributes start out is Donlin Gold’s excellent leverage to gold as seen on the bar chart on Slide 18 even in a low price environment, the project has positive rates of return. Given its uniquely long mine life, the project offers a high likelihood that – it will enjoy multiple bull markets during its period of operation. Donlin Gold is located in Alaska. This is a key competitive advantage that cannot be overlooked. On Slide 19, we highlight that the U.S. has a defined and rigorous permitting process and the rule of law is not a novelty. Once you get through the process, you get to keep the fruits of your labor. Jurisdiction is an important issue today in the resources sector. Investing in the wrong region carries risks well beyond what you’ll find in North America. We are fortunate to have an excellent shareholder base who are true believers in the opportunity and superior leverage, which NOVAGOLD presents. In closing, the company is well financed to continue permitting at Donlin Gold. We remain determined and committed to bringing the project up the value chain and will not let fluctuations in the market deter us from achieving this objective. NOVAGOLD is truly an institutional quality stock and we are recognized for the value we bring. We will now open the floor for questions.
Operator : [Operator Instructions] Our first question comes from the line of John Bridges with JPMorgan. Your line is open. Please go ahead.
John Bridges : Morning, Greg, Melanie, everybody. And I was just wondering - interested in your comments on the – in a different phase - different scales of operation. Just wondered how big a scale could you handle given the amount of diesel you can barge up the river? And if you could elaborate on potential sort of introduction of third-parties that would be really interesting, too? Thanks, Greg.
Greg Lang: Well, good morning, John. Thank you for participating in our call as always. Yes, the question on scale is, we are still working on that with Barrick, what seems to make the most sense is half now, half later type approach and barging on the Kuskokwim, probably one of the most sensitive issues throughout the permitting. So we’ll certainly be mindful not to have any greater barge traffic that’s currently envisioned in the process. And the final question I think, John, on third-party participation, we continue to evaluate those opportunities and I think, what we really got to do is get this next phase of the EIS behind us and then we will be in a position where we can make a decision.
John Bridges : Okay, best of luck guys and congratulations on the progress so far.
Greg Lang: Thank you, John.
Operator : Thank you. And our next question comes from the line of Raj Ray with National Bank Financial. Your line is open. Please go ahead.
Raj Ray : Thank you, operator. Good morning, Greg and team, just a couple of questions. First one, following the comment period and the subsequent extension, do you envisage any major revisions to your Draft EIS? And if that might have any impact on the timeline?
Greg Lang: Good morning, Raj. Thank you for joining on the call. The Corps of engineers is evaluating all of the comments they receive and there were quite a few comments. And the Corps, what they do now is, they take all of these comments and really lay out a work program through some of the ones they’ll address and the other comments they won’t address. And then, once this is complete in the next month or so, they will put out a final schedule. But to answer your question, yes, I would anticipate somewhere between nine and 15 months, 12 months give or take a couple months to complete the final EIS. And it’s lot of work ahead of us, but it’s taken a lot of work to get us to this point. So we are certainly prepared to deal with it.
Raj Ray : Okay, and the second question, now you have talked about the optimization of the project there, have you looked at putting out a study any time soon, so that will give an idea to the market what the optimization might look like and what the economies might look like?
Greg Lang: Raj, we are not yet in a position to do that and we are very focused on permitting the project and envisioned in the feasibility study. In a general sense, anything that remains within the existing footprint of the study doesn’t require significant permitting activities and we are very mindful that we don’t want to do anything that disturbs the effort that we’ve put in the last few years to get us to this phase we are preparing a final EIS. So I wouldn’t anticipate any releases or details on the study until a year from now.
Raj Ray : Okay, okay, that's it for me. Thanks, Greg, and congrats on the progress and the environmental permitting. Thanks.
Greg Lang: Thank you, Raj.
Operator : [Operator Instructions] And I am showing no further questions at this time and I would like to turn the conference back over to Mr. Greg Lang, President and CEO for any further remarks.
Greg Lang: Well, everyone, thank you for participating in today’s call and we will continue to update our shareholders as we progress through the final EIS. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a great day.